Operator: Good morning and welcome to the Arhaus Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal remarks. Please note that this call is being recorded and the reproduction of any part of this call is not permitted without written authorization from the company. I will now turn the call over to your host, Wendy Watson, Senior Vice President of Investor Relations.
Wendy Watson: Good morning, and thank you for joining Arhaus' Fourth Quarter and Full-Year 2021 Earnings Call. On with me today, are John Reed, Co-Founder, Chairman, and Chief Executive Officer, Jen Porter, Chief Marketing Officer, and Don Phillipson, Chief Financial Officer. John will start with a summary of the main points we made in this morning's press release, along with operational details. Jen will discuss the status of marketing initiatives and Don will cover our financial performance and our outlook for 2022. After their formal remarks, we will open the call for questions. For Q&A, please limit to one question and one follow-up. If you have additional questions, you may return to the queue. We issued our earnings press release and our 10-K for the year ended December 31st, 2021 before market open today. These documents are available on our Investor Relations website at ir.arhaus.com.  A replay of the call will also be available on our website within 24 hours. As a reminder, remarks today concerning future expectations, events, objectives, strategies, trends, or results constitute forward-looking statements. Actual results or events may differ materially due to a number of risks and uncertainties. For a summary of these risk factors and additional information, please refer to this morning's press release and the cautionary statements and risk factors described in our annual report on Form 10-K, as such, factors may be updated from time-to-time in our other filings with the SEC. The forward-looking statements are made as of today's date. And except as may be required by law, the company undertakes no obligation to update or revise these statements. We will also refer to certain non-GAAP financial measures. And this morning's press release includes the relevant non-GAAP reconciliations. I will now turn the call over to John.
John Reed: All right. Thank you. Good morning, everyone. And thank you for taking the time to join our Fourth-Quarter and full-year 2021 Earnings Call. We're very pleased with our records Fourth-Quarter and full-year performance. For the full-year of 2021, here are some facts. Net revenue increased 57% to $797 million with our retail channel up over 56%, and our e-com channel up over 60%. Comp growth increased net -- 51%, net and comprehensive income increased 117%, adjusted net income increased 118% and adjusted EBITDA increased a notable 77%. We ended the year with 79 showrooms across 28 states. Dawn will cover our fourth-quarter and full-year 2021 financial performance and outlook for 2022 in a more detail later in the call. But we continue to be very encouraged by the trends of our business. 2021 was a monumental year for our house. In addition to our record financial performance, we made some key investments that will support our long-term growth. First, we opened a nearly 500,000 square foot distribution center and upholstery production facility in North Carolina. We began our 230,000 square foot expansion of distribution and corporate offices here at home in Ohio and we launched a new website to enhance our client experience in analytic capabilities. In addition, we transitioned to a public company with the initial public offering of our stock in early November. Our results and accomplishments required a tremendous amount of work and execution by our over 1,700 associates. I want to personally thank them for all their hard work and growing our house as well as building our brand and being true to our mission and values and delivering an incredible product and client service experience. We have tremendous white space to grow our showrooms footprints across the United States.  And in 2021, we opened seven new showrooms, three traditional showrooms in Boca Raton, Florida, Salem, New Hampshire, Short Hills, New Jersey as well as four design studios in Burlingame, California, Princeton, New Jersey, Miramar Beach, Florida, and Aspen, Colorado. As part of our efforts to continuously optimize our retail footprint, we also relocated three showrooms in Oakbrook, Illinois, Charlotte, North Carolina and Mclean, Virginia, and converted these showrooms to our new format and closed two older format stores in redundant locations as their leases expired. To update you on current supply chain and dynamics, and the expansion of our distribution and production capabilities. Our inbound product supply chain is improving tremendously. Lead times continues to be a bit longer than historic averages, but we expect lead times to continue to improve throughout 2022.  Further, we expect the recent and upcoming additions to our outbound capacity to help alleviate constraints over the course of 2022. Our new North Carolina upholstery production and distribution center is open, it's operating and it's really exceeding our expectations. The expansion of our Ohio distribution and corporate office facilities is progressing and we expect it to be operational later this year. We're extremely excited about a third distribution center in Texas that we expect to open in the second half of 2022. In closing we have never been more excited about our business and the trends of our business. Demand remains strong across all channels and we're very focused on delivering our incredible product to our clients. We operate in a fast-growing $60 billion premium home furnishings market in the United States.  Our clients who are predominantly from high income households continue to invest in their homes and we continue to execute our growth strategy by opening showrooms and making the investments to build our brand awareness and grow our Omni-Channel footprint. With our markets share today up less than 2% of this large fragmented market, we have a long and exciting runway for growth. Now I'll pass this over to Jen to review our current marketing initiatives in more detail.
Jennifer Porter: Thank you, John. And good morning, everyone. I'm so happy to be able to share some of our marketing efforts from 2021 with you. As a quick reminder, our house is a 35-year-old heritage brand that offers unique arts and crafted airline quality products to our clients. We are building out an omni -channel approach to marketing, anchored by our inspirational showrooms and extending through our website, our catalogs, and across digital channels and tools. We know what happens when a client fits on one of our sofas or sees the beauty and durability of a reclaimed wood table for themselves. So, our priority is to bring the same experience to life across channels. Digital continues to be an exciting area of opportunity for us. As John mentioned, our 2021 E-commerce revenue was up over 60% compared to 2020. We saw critical digital enhancements with the launch of our 3d ramp planning tool, our shoppable Digital Catalogs, a Virtual Showroom Tour, and a new email platform, all in the first half of the year.  In December 2021, we launched our new ir.arhaus.com experience, which I encourage you to checkout. While still early days, the launch immediately stepped up our online client experience by better showcasing our brand and allowing us to share more product knowledge. The site also bolsters our product merchandising and customer analytics capabilities. Our initial feedback and analytics are positive with an increase in page views, time on-site, as well as a reduction in cart abandonment since the launch. Earlier this month, we launched an Omni-Channel outdoor living campaign in support of our new and expanded outdoor product collection. This campaign is a great example of the experience we can bring to life in our showrooms, through our catalogs and online.  Along with showcasing an exciting new product assortment, we are inviting our clients to journey with us to Greece and to get caught up in the magic of the Greek isles. We believe that by being inspired by the world around us, we can help each client create their own personal oasis at home. Print media is a critical piece of our omni-channel strategy, and in addition to targeted mailings, we have two large catalogs each year in January and September. On our last call, I mentioned the fantastic results we were seeing with our fall catalog. We are seeing this trend continue with our January catalog sales significantly outperforming last year. Looking forward into 2022, we doubled the circulation of our outdoor catalogs, which hit homes earlier this month as part of our outdoor living campaign. Client growth was another highlight in 2021, new customer acquisition, both number of new clients and new client average order value, significantly increased over both 2020 and 2019.  We achieved this growth across channels. Our seven new showrooms that opened in 2021 are a great source of new client acquisition for us. We also saw a significant success in reaching new clients through our direct mail and social media channels. We continue to see strong results whenever we reach new mailboxes or partner with new influencers and media partners to share our story. Existing client numbers and value increased as well both in showrooms and online, driven by our targeted marketing initiative and a great response to new product offerings. Looking forward to 2022, our focus is on client acquisition, engagement and retention. We continue to learn and act on data from our new website launch, and we'll share more detailed on upcoming enhancements in future calls.  We have some really exciting campaigns and product launches planned for this year, as well as new showrooms plan for the second half of the year. As I mentioned earlier, we are thrilled with this month launch of our outdoor living campaign, and I encourage everyone to check it out when you have time. We look forward to sharing more information about our Omni-Channel development and growth throughout the year. For now, I'll pass over to Dawn Phillipson.
Dawn Phillipson: Thank you, Jen. And good morning, everyone. As John mentioned, we're pleased with our 2021 fourth quarter and annual results and the strong underlying trends in our business. Please note that we have recast our financial statements to reflect an entity under common control with our operating company. The prior periods reflected in our Form 10-K have been adjusted to combine the entities for presentation purposes. The future impact to our financial statements is not expected to be material. For details and the re-cap financial information, please refer to our Form 10-K filed this morning. For the fourth quarter net revenue increased 46.3% to $238 million.  The growth was driven by increased demand for our products in both showrooms and e-commerce channels, as well as delivery of orders in the backlog as our supply chain continues to catch up with client demand. Comparable growth was 40.5% in the quarter. Demand remains strong in the quarter with demand comparable growth of 17.9% on a one-year basis, and 79.8% on a two-year stacked basis. Gross margin increased 39.1% to $97 million in the quarter driven by our higher net revenue, partially offset by the related increase in product and transportation costs as well as higher credit card fees and other store costs. Gross margin as a percent of net revenue decreased 210 basis points to 40.7% better than our expectations. And reflecting higher product and transportation costs, partially offset by our ability to leverage our fixed showroom occupancy costs over higher Net revenue.  SG&A expenses increased 57.5% to $100 million primarily from investments to support the growth of our business, share-based compensation expense for equity awards, higher demand driven commissions in our showrooms, and one-time costs related to the IPO. As a percentage of Net revenue, SG&A expenses increased 290 basis points to 41.8%. Interest expense was approximately $1 million. Fourth-quarter 2021 net income of $7 million includes a $12 million income tax benefit primarily related to the recognition of a deferred tax asset that arose from our reorganization-related to the IPO. This compared to Net Income of approximately $3 million in the fourth-quarter last year. Adjusted Net Income in the fourth-quarter of 2021 was $17 million. Adjusted EBITDA in the quarter increased 14% to $33 million from $29 million in the fourth-quarter of 2020. For the full-year Net revenue increased 57.1% to $797 million. Full-year comparable growth was 51%.  Demand was very strong throughout the year with demand comp growth of 45.3% on a one-year basis and 70% on a two-year stack basis. Gross margin increased 65.4% to $330 million for the year. And gross margin as a percent of Net revenue increased 210 basis points to 41.4%. Net Income of $37 million for the full-year 2021 was up 116.7% compared to Net Income of approximately $17 million last year. This includes a $10 million income tax benefit primarily related to the recognition of the deferred tax asset I just mentioned. adjusted EBITDA increased 77% in 2021 to a $123 million from $69 million in 2020. Turning to the Balance Sheet as of December 31st, cash and cash equivalents were $124 million and the company had no long-term debt. Net merchandise inventory was $208 million as of December 31, 2021, a 92.9% increase from December 31, 2020, as we build inventories in response to strong ongoing client demand.  As I mentioned, while we are reducing our backlog and our comp growth is now outpacing our demand comp growth, demand remains strong and we continue to increase our inventory levels accordingly. For the year ended December 31, 2021, net cash provided by operating activities was $146 million and net cash used in investing activities was nearly $48 million with landlord contributions of $18 million. As a result, total capital expenditures, net of landlord contributions were approximately $30 million for the year. Regarding our full-year 2022 outlook, please refer to this morning's press release. Highlights include full-year Net revenue of $1.13 to $1.17 billion full-year comparable growth in the range of 35% to 45%.  Net Income of $70 to $80 million and adjusted EBITDA of $145 to $155 million. We assume continued inflation and transportation, logistics, container and product costs, which will work to mitigate as needed. Regarding adjusted EBITDA margin, we expect year-over-year margins to stabilize in the third quarter and expand in the fourth quarter. We expect healthy demand comp growth in 2022. As expected, we're seeing sequential declines, for year-over-year growth. We will continue to ensure our inventory positions supports our customer delivery time goals as we move through the year. As John mentioned, we expect our new distribution capacity to help alleviate our backlog. So far in 2022, our North Carolina facility is outperforming our expectations and is positively impacting net revenue more quickly than anticipated. Because of the timing of our fourth-quarter and full-year earnings release today near the end of our first-quarter, we're also providing insight into our first-quarter expectations.  We expect first-quarter net revenue of $232 to $236 million, net income of $12 million to $14 million, and adjustment. EBITDA of $24 to $26 million. In future quarterly reports, we will only be providing updates to our annual guidance. For all other details related to our 2022 outlook, please refer to our press release. We're all pleased with the strong start of the year and feel well-positioned to deliver on our financial and operational goals in 2022. This concludes our prepared remarks. Thank you for your attention, and we would now like to open the call up for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] One moment, please, while we poll for your questions. Our first question comes from the line of Curtis Nagle with Bank of America. Please proceed with your questions.
Q - Curtis Nagle: Good morning. Thanks very much for taking the question. So, curious note, little more detail on the out-performance. Really strong quarter, really nice guidance. It sounds like some of that is due to clear in the backlog, maybe a little better than expected. I guess what are you guys seeing from a customer or macro perspective? One of your bigger competitors have called out potential headwinds and that was having an impact on near-term demand. Is that something you're seeing or anything else we should be thinking about in terms of what are just really, really nice set of numbers for you guys?
John Reed: Good morning. This is John Reed. Yeah, we're seeing business pretty much as we had forecasted. Business is still strong. We've not seen a big drop-off. And we're marching forward here. Who knows what the future is going to bring with everything going on between inflation and wars and so forth but so far, we've seen demand pretty much on track of where we expected? We've not seen a big drop-off.
Curtis Nagle: Great to hear. And then maybe just a question for Dawn. The Gross margin. So [Indiscernible] came in much better than expected. I think you called out maybe some additional operating leverage on occupancy and anything else that was driving like a 200 fifth better than at least we were thinking. So, yes. What are the big factors? Morning
Dawn Phillipson: Morning Curtis. Sure. Container costs in the fourth quarter were not as elevated as we had anticipated relative to our expectations. So [Indiscernible] you're thinking about your model, that's where there is some benefit in the fourth quarter. We -- so apart from that, there was incremental leverage, as you would expect on the higher revenues that is flowing through.
Curtis Nagle: Very helpful. Appreciate it.
Operator: Thank you. Our next question is come from the line of Jonathan Matuszewski with Jefferies, please proceed with your questions.
Jonathan Matuszewski: Great. Thanks so much for taking my questions and a nice quarter, guys. First one was just on pricing. Other competitors in the market have been more aggressive with price increases. In 2021, I think you guys introduced a small increase early in the year and a larger increase later in the year. How are you guys thinking about pricing for 2022? Is an increase contemplated? Any thoughts there would be helpful.
John Reed: Yeah. We said we adjusted prices a couple of times last year as needed. We look at this very carefully. We are increasing prices as we're seeing our cost increasing whether it's from vendors or from containers, which is obviously the two things that are increasing. But it continues to be a lever for us. We're ready to pull the lever as needed. If we see more price increases, we will take them. We don't see -- we've done a lot of analysis on our products versus our competition. We're still extremely competitive. In many cases, more competitive and we'd like to stay more competitive. But if we got to take them, we will and we don't see that being affect our business if we need to.
Jonathan Matuszewski: Great. That's helpful. And then my follow-up was just on supply chain. Last night we heard from other executives that -- their view that supply chain hasn't gotten better at all. And I think you guys are painting a different tune this morning in terms of suggesting that inbound supply chain logistics are improving tremendously, and lead times are continuing to improve. So maybe just help us square those two observations. What do you guys seeing from vendors in terms of new factories that they are building, expanded capacity that they are installing, maybe greater allocation of resources to you guys. Any thoughts there would be helpful.
John Reed: Absolutely. Yeah, I can fit Jen on this one. First of all, our business model as I think we've explained to you guys it's a little different than a lot of our competition between United States, Mexico, Europe. That's a huge part of our business, United States is still over half our business. So, we didn't have the big interruptions that -- well we had interruptions, of course, with the foam issue last year and out of Texas where nobody could make anything -- any kind of a domestic upholstery, but that's far behind us now. So, we don't have a lot of eggs in China's basket, which seems to be the holdup right now. China keeps shutting down, I think that I just read they've shut the entire city of Shanghai down for about a week or so here.  We get things out of Asia, but it's more South Asia, Indonesia is one of our larger countries, but again, we're getting things out of countries that have not been affected. Now with that said, with our business being so strong, all of our vendors have stepped up, they've increased their capacity. We're very happy to report that folks are shipping to the most part on time. It's taking longer to get here, of course. We factor all that in, so we placed orders further out. We've already adjusted that. We've had plenty of time to figure that out last year. So, we're placing orders three or four months farther out than we used to. But now that we're on that program, we're getting plenty of containers in. We're happy to report things are getting more and more in-stock every day. And it will continue to be that way.  Because our goal and our concept is we try to keep everything in stock, that customers see so they can get it delivered right away. And that just continues to improve. We just opened our new upholstery facility down in North Carolina literally last month. It's humming great. It hit what we wanted it to hit for March, as far as production goes. And we think we'll have plenty of capacity to take on more orders and to grow the business.
Jonathan Matuszewski: Excellent. Thanks for all the color, best of luck.
John Reed: Thank you.
Operator: Thank you. Our next question is coming from the line of Peter Keith with Piper Sandler, please proceed with your questions.
Peter Keith: Hey, good morning Arhaus team. Great results here. Maybe a quick question for Dawn. I know in last year when you were helping us shape the comp growth for 2022, you're always assuming a mid-single-digit demand comp for the year. Is that generally what you are continuing to expect? And as -- maybe, would it be steady through the year? Do you think there's any change between beginning of year and end-of-year?
Dawn Phillipson: Sure. Good morning, Peter. So, while we don't guide to demand comps. What I can tell you is that we expected some sequential deceleration. So, a 17.9% demand comp in Q4, we have come down from that, which is what you'd expect. We can't continue to see these levels of increases year-over-year, wouldn't expect to. We are above -- trending above the mid-single-digit for Q1 to date. So, we continue to be really pleased with the consumer response to our marketing, our product our showrooms. So, we think we're executing on all the right strategies.
Peter Keith: Okay, fantastic. And maybe I'll take that pivot it over to Jen. It just seems longer-term. You have this great brand awareness opportunity. So, any data you can share maybe if, I don't know if you would study it in recent months or just maybe how you saw brand awareness improve through 2021 would be interesting to see.
Jennifer Porter: Yeah. Hi, Peter. We are really excited. We obviously pay very, very close attention to our customer numbers. So really looking at that new clients, existing clients split, and we're seeing that as the business has grown, really the percentage of sales there, we're still seeing hopping right around that 50/50% mark, which we feel really, really, great about that considering how quickly the overall business is growing. We're seeing really strong results as we open up our new showrooms. So as John mentioned we opened up seven new showrooms last year. And we see those outperform the rest of chain in terms of new customer percentage. So definitely acting the way we would expect them to as billboards for the brand, encouraging people to come in.  And then I think one of the other areas that we look at very closely as things like organic traffic to the website, response to our catalogs when we're doing prospecting, [Indiscernible] elements along those lines and we're really pleased with all of the data that we are seeing there. We are not reporting on the specific brand awareness metric that we spoke to in the IPO process. But all of the things that we are looking at, we're seeing our marketing methods check and marketing methods check across the board, which really suggests to me that we're starting to gain traction in the recognition.
Peter Keith: Sound great.
Jennifer Porter: Yes
Peter Keith: So, I don't want to interrupt. Go ahead.
Jennifer Porter: No, I was just going to throw it up, plug there for the new website as well. And so, I think just the engagement that we are seeing on the website itself. Not only is that obviously immediate revenue driver, but the interaction, the time people are spending on the site, we're definitely seeing the brand resonates, which is an over positive factor moving forward.
Peter Keith: That sounds great. Thanks so much and good luck this year, guys.
Jennifer Porter: Thank you.
Operator: Thank you. Our next questions come from the line of Simeon Gutman with Morgan Stanley, please proceed with your questions.
Jacquelyn Sussman: Hi, this is Jacquelyn Sussman for Simeon. I was wondering if you could share anything in terms of the breakout of the comp in the fourth-quarter between traffic and ticket and anything about how the customer acquisition and traffic is both staring and trending in -- in quarter-to-date.
Dawn Phillipson: Sure. Good morning. Both transactions and ticket are up healthily year-over-year. AOV increased about 7% in the fourth-quarter relative to prior year and number of transactions is up about 14% versus prior year. So, we're seeing healthy growth in both of those metrics.
Jacquelyn Sussman: Awesome. Thank you so much. And just a quick follow-up on the questions that have been there on demand comp. How are you guys thinking about backlog and when they will peak? How has that changed in terms of what your expectations were from the last quarter? And is this embedded into the guide?
Dawn Phillipson: Sure. So, the demand comp would not include any backlog that would be in our comp growth number. And we do expect -- we did guide to a 35% to 45% comp growth for the year, that would include the backlog. As John mentioned, we're working diligently to bring the right inventory in at the right time to help clear through the backlog. And our lead times are expected to decline nicely by the end of the year.
Jacquelyn Sussman: Awesome. Thank you, guys, so much and congrats on a great quarter.
Dawn Phillipson: Thank you.
Operator: Thank you. Our next question is coming from the line of Steven Forbes with Guggenheim Securities. Please proceed with your questions.
Steve Forbes: Good morning. I wanted to start with the new store performance, so John or Dawn, curious if you could comment on the performance ramp of the '21 class of new stores relative to expectations, or relative to the traditional sort of store model build. And then just provide us some insight on the current thoughts around 2022s class and maybe inclusive of the new versus existing market outlook.
Dawn Phillipson: Good morning, Steve. So, we don't typically give guidance on or performance metrics on specific Showroom fleets. But what we will say is that we're pleased with the performance we're seeing. Showrooms are continuing to execute well and in line or above expectations on the demand side. So, we're pleased with it. And Jen mentioned earlier that customer metrics are doing well in those showrooms. So, we think we're on target with our locations and our strategies for opening those showrooms.
Steve Forbes: Thank you. And maybe just a quick follow-up. Maybe John, for you. You think about the opportunity here in 2022, given the brand awareness ramp that has transpired and all the work that you guys seem to have sort of executed on. What are your sort of view as the categories of greatest opportunity? I mean, the outdoor launch. Is there any sort of framework you can help us sort of contextualize as you think about where our houses really leaning into in terms of a category perspective or just this driving the value proposition to a broader customer demographic?
John Reed: Sure. We took a strategy a year when COVID started that we're going to continue working on new products in all categories increasing our selection offering more exciting products, even up scaling some of the products. And the team has done a great job with that. So, one thing we did that we think is a little different than some of our competitors is we've been aggressively rolling out new products. The last -- the January catalog that just hit couple months ago had, I don't know, over 200 new products and I think we had advertised the new outdoor catalog that we just had just last week was just game-changing for our outdoor. We think it was photographed over in Greece.  We think it's the best-looking outdoor catalog anybody has done in the business. And so, we're excited about that category as well, but we're really excited about all the categories. And we've got a great team of really talented folks that have been coming out with some great new products. And we've been aggressively doing that because we think -- we look at times like this when people do cut back, they don't introduce new things, they don't produce as many catalogs and so forth and we took the opposite approach. And it seems to be working for us.
Steve Forbes: Thank you.
Operator: Thank you. Our next questions come from the line of Adrienne Yih with Barclays, please proceed with your question
Adrienne Yih: Good morning, everyone and congratulations. On the fourth-quarter and then the success on trending into the first of the year. So, my first question is on digital -- am sorry if I missed this, but did you actually give digital percent sales penetration and Dawn, can you give us some color on the Ebbitt segment margins there relative to the for wallet, the stores. And then my follow-up in terms of inventory you talked about the lead time, getting better, so to the extent that--can you give us some color on the component of that is in transit and what that inventory is in unit at the end of the quarter. Thank you very much.
Dawn Phillipson: Good morning, Adrienne. So, for the full-year e-comm penetration was right around 18% in line with our expectations and we're pleased with the performance of both segments and e-common showrooms. As we think about inventory, it's important to keep in mind that we use a landed cost. And so, as those container costs are increasing, the inventory levels are increasing. So, I think that's just important to note as we think about this year and then go forward. Apologies. What was the other portion of your question, Adrian?
Adrienne Yih: It was basically on that, in terms of the breakdown between what's in-transit and then the difference between the actual dollar costed inventory versus units, right? So, what's the spread? Is it 10%? Is it 5%? Basically, it's the cost of inflation is effectively the cracks to the question.
Dawn Phillipson: Yes, we don't typically give units just given that there is a lot of volatility as you think about, so far as versus decor.
Adrienne Yih: Yeah.
Dawn Phillipson: So, I'm not sure if that metric would be terribly helpful for you. As we think about in-transit. There's a decent amount of inventory in transit. So, as you think about how we invoice and pay for our inventory, we typically take possession of that inventory at the foreign port and then bring it in. So, as you think about the international transportation or international inventory being 50% to 60%, you could probably take a -- oh, Gosh. Adrienne you're asking a good question here. I don't know if you want to give the number. I mean, it's -- I wouldn't say it's a meaningful amount. It takes about 20 days for product to get internationally here. So, in the event that's helpful to you.
Adrienne Yih: Yes. We get back into it. And then my final is on the basis point impact to gross margin in the fourth quarter, and I know you had them in the third quarter, when you're giving your guidance for 2022, everything seems to be getting on a track to be improving. Are you expecting embedding in that guidance a reversal? Like a net good guide in 3Q and 4Q in that guidance on the GM line.
Dawn Phillipson: Yeah, not yet. So, we've seen container cost stabilize in the end of the fourth quarter, first quarter and that you saw is driving some gross margin benefit in the fourth quarter. As we think about the number of containers that we're bringing in this year that would have container cost applicable to it and the percentage that we've managed to secure on a contract rate versus a spot rate, I'm not comfortable taking those container costs down yet. I just think it's not prudent, there's other things that are factoring into that gross margin rate as well in 2022, things like fuel surcharges that we're seeing on the outbound side, transportation from the DC is to the hubs in the client homes. That's also factored into the 2022 guidance. So, we want to be prudent, we want to forecast in a responsible way. So as of yet, I don't think it's the right time to take those container costs down for the balance of year.
Adrienne Yih: That's prudent. Thank you very much. And best of luck.
Dawn Phillipson: Thank you.
Operator: Conference. Thank you. Our next question comes from the line of Peter Benedict with Baird, please proceed with your questions.
Peter Benedict: Hi, good morning, everybody. A couple of questions. So first, just on the backlog still -- still considerable over 40%, I think give your LTM revenue. Just -- I'm curious on how you're planning for that to flow into the P&L into revenue across '22, any color on first-quarter or first half, second half? And then I'm trying to understand maybe what's normal for the business. You guys obviously have a plan here, where might that backlog be at the end of this year if you just do the numbers that you've laid out. Any help on that? That's my first question.
Dawn Phillipson: Sure. So, as we think about -- as we think about delivering the backlog, one of the constraints we have is our capacity to ship out of our facilities that we currently have. So, Boston heights, we have this one facility and have had it, North Carolina we opened up on the shipping side in the end of Q4. That is outperforming expectations which we're really pleased about. But as you think about deliveries, once we get our Dallas, Texas facility open in the third quarter this year, we'll see a nice uptake in those delivered sales in the revenue lines. So, capacity constraints on our side, on the outbound side certainly is one of the items that's inhibiting catching up on that backlog. So, we're excited for Dallas to open and it's on track that we're pretty thrilled about that.
Peter Benedict: That's helpful. Any perspective on what's normal? I know you guys are doing a lot here with the -- on the distribution side. And so maybe your experience two, three years ago is not informing maybe what is possible here from a backlog perspective. So, it's -- again, it's -- it's north of 40% of your revenue or your trailing revenue. Is there a framework you can help us think about when maybe the business is "back to normal " where that might be landing, if not no problem, but just curious?
Dawn Phillipson: Sure. So, in the transaction we had noted that the growth rate for 2022 and 2023 would be right around 30% on Net revenue with '22 being a bit higher, '23 being a bit lower, and then we would normalize as we move into '24 and beyond. So, we do think there will still be some backlog to deliver, it is a rolling backlog so clients are not waiting. We wouldn't expect them to be awaiting that length of time. But as far as a backlog number for the end of this year, we're going to push through as much of it as we can. It's the right thing for the client, it's the right thing for the company. So more to come on that I guess as we move through the year, but it's a bit early to speculate on that at this point.
Peter Benedict: That's fair enough. I guess -- and thank you for that. And then our next question, maybe for Jen, we talked about '22 being kind of a year of custom acquisition and retention. And maybe help us with what you think are some of the most impactful or marketing initiative you have on top for this year. And maybe some perspective around the cost to acquire customers, how that's been trending and what your view is on that going forward? Thank you.
Jennifer Porter: Yeah. Of course. Good morning. I think we have a lot in works and I think what's really exciting about our house is that we have this brand, the story, this arsenal product that's being developed for 35 plus years and we're really focusing on now introducing that story to more people. So, we have a really broad mix of marketing tactics -- methods that we can pull. As I mentioned on the call and as John reiterated, we are absolutely thrilled with outdoor. And I think that's really showing a step up in what we can do in terms of getting that story out to more consumers. Not only to our showrooms, but also digitally on the site through our direct mail, through partnerships with media and influencers.  And there's other things that you will see throughout the year. I think I am really excited about some of our upcoming big launches. So, looking at fall, we'll be launching our next big catalog and more new products surrounding that. So, we have a lot of actions and activities surrounding that element. This month actually at the beginning of the month we just celebrated our opening of our Aspen store in Aspen with an event in that market. And I think that was a really great example of how we market and address specific communities. We're really excited when we open up a new showroom, to be joining a community, and meeting our neighbors and really being able to introduce the brand one-on-one to potential clients. And I think that events and that initiative in that local market, while it was local to Aspen, it has legs nationwide and was really powerful to get to know that climate.  So, I would expect to see more initiatives and actions like that. Moving to your question about customer acquisition and costs, I'm sure you're hearing this across the industry. Digital marketing is an ever-evolving arena with all of the privacy regulations and things that have come up. Costs are going up. So, we're seeing costs rising. We're seeing efficacy of some of our campaigns falling. I think though again, what we're really pleased about is that we do have that broad marketing mix. So, we do have new showrooms opening. We do have a very strong print marketing program. We are really just on the early stages of working with influencers and partners outside of a brand.  And then we have an incredibly strong team that we have really worked very hard to bring in-house over the last few years. So, we're people focused on every campaign and initiative that we're doing. Constantly optimizing and reevaluating our spend on any specific channels. And we're not committed to any one channel to achieve our business needs. And we can serve shift to funds around and move things as we need to continue working, so we're feeling really excited about 2022. Obviously, we'll be paying very close attention to the market and everything that's going on there but a lot of fun things to come, which I look forward to telling you about later in the year.
Peter Benedict: That's great. Super helpful. Thanks very much.
Operator: Thank you. Our next question's come from the line of Cristina Fernandez with Telsey Advisory Group. Please proceed with your questions.
Cristina Fernandez: Hi, good morning. I had a question for John following on the supply chain comment around the lead times coming down. Will you be able to give some color of where are they maybe on weeks versus peak? And how is that translating to the order wait times you're quoting customers? Have those been able to come down and how are they trending versus key competitors?
John Reed: Good morning, Cristina. Yes, they have definitely come down their way off the peak. And I think we're quoting eight, nine weeks now in -- for our customers to weight on average, which before had been 16, 25 and so forth last year. So they continue to come down and every month there they're coming down less and less. Our upholstery business, which is a big, big part of our business, the custom part, which is what we're really known for, has come down over a month, lead time has gotten shortened by a month last month, and I think next month we are going to shorten it by another month.  So, it continues to come down. Customers are responding very nicely to the decreases because they'd rather not wait, they'd like to get their product. So we've been doing a nice job, right across-the-board with lead times coming down certainly on our best sellers as well, which is very important of course. We track what competitors are doing, they're all over the board. Some are still out 20 some weeks somethings, some are trying to get things in stock. Again, it depends on where they are getting them from and so forth. So but it's literally all over the board right now.
Cristina Fernandez: That is very hopeful. And then my my second question, I wanted to ask about the interior designers with shave, a team initiative for the company and enable to get more [Indiscernible]. How did that trend in the fourth-quarter as far as penetration, are you seeing that increase? And so is talks about expanding the interior designer community in 2022.
John Reed: Right, we have our own internal designers, as well as we work a lot with the trade. And both have been growing very, very nicely last year. And the trend seem to be continuing for this first-quarter. We're thrilled with that business and we're going to continue to grow it. And we've got initiatives in place to grow both internal designers and outside trade designers.
Cristina Fernandez: Thank you.
John Reed: Right. Sorry, she was writing a number down for me. We have over 70 designers currently on staff and we're looking to grow that.
Cristina Fernandez: Any color you can share on the penetration of I guess your percentage of sales that are coming from those interior designers?
Dawn Phillipson: Hey, Cristina, demand penetration continues to increase with those designers. So we're finding that the program is really resonating. And we're pleased with the performance, but it's up nicely versus last year.
Cristina Fernandez: Thanks for that.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Wendy Watson for any closing comments.
Wendy Watson: Thank you, everyone for participating and we look forward to talking to you again next quarter.
John Reed: Thanks, everybody. I appreciate your time. Have a great day.
Operator: This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.